Kip Meintzer: Hello everybody and good afternoon. It's Kip Meintzer, Head of Investor Relations for Check Point Software. Joining me today on the video conference call will be Gil Shwed CEO and Founder; as well as Roei Golan, our CFO. Before we begin, obviously the good old forward-looking statement. During this presentation Check Point's representatives may make certain forward-looking statements. These forward-looking statements within the meaning of Section 27A of the Securities Exchange Act of 1933 and Section 21E of the Securities and Exchange Act of 1934, include, but are not limited to, statements related to our expectations regarding our product solutions, expectations related to cyber security and other threats. Our expectations and beliefs regarding these matters may not materialize, and actual results or events in the future are subject to risks and uncertainties that could cause actual results or events to differ materially from those projected. These risks include our ability to continue to develop platform capabilities and solutions, customer acceptance, purchase of our existing products and solutions, new products and solutions, the market for IT security, et cetera, political economic business everything under the sun including the impact of the COVID-19 pandemic. These forward-looking statements are also subject to other risks and uncertainties, including those more fully described in our filings with the Securities and Exchange Commission, including our Annual Report on Form 20-F filed with the SEC on April 27, 2023. The forward-looking statements in this presentation are based on information available to Check Point as of the date hereof and Check Point disclaims any obligation to update any forward-looking statements except as required by law. In this presentation, our press release, which has been posted on our website, we present GAAP and non-GAAP results, along with a reconciliation of such results as well as the reasons for our presentation of non-GAAP information. And guess what? This year is our 30th year in business. I hope you'll all join us in celebrating toast of glass or what have you of your favorite beverage. We've had an accumulation of $30 billion in revenue over these 30 years, and I hope you'll cheers us to the next 30. And with that…
Roei Golan: And we -- actually a week ago, we just – yes --
Kip Meintzer: A week ago. There you go.
Roei Golan: Yes.
Kip Meintzer: And with that, I will toss this over to Roei Golan, our CFO. And a reminder again, please do not raise your hands. Thanks.
Roei Golan: Thank you, Kip. Just let me to show my presentation. Can you see my screen?
Kip Meintzer: You need to join the presentation, Roei.
Roei Golan: No, no, I know, I know, but can you see? Okay. Great.
Kip Meintzer: Yes. We got it.
Roei Golan: Great. Okay. Thank you, Kip, and greetings to everyone joining the call today. Excited to be with you and begin the review of the second quarter of 2023. We had a very strong profitable quarter, reaching the highest state of work for more than a decade. Our net income grew by 14% to $238 million, while our non-GAAP EPS was up by 22%, higher since 2009 to $2 per share. Our revenues reached $589 million, which is $1 million above the mid-point of our projections. And as I mentioned, our earnings -- our non-GAAP earnings per share reached $2, which is $0.05 above the top end of our projection, very strong results. Now let's deep dive into the numbers. As I mentioned, revenues were up to $589 million, 3% growth year-over-year. Our deferred revenues went up to $1,774 million, 7% growth year-over-year, while our current deferred revenue short-term reached $1,307 million, 8% growth year-over-year. Our calculated billing reached $566 million, which is 1% decline year-over-year, and 70% growth compared to Q1 2023. Our current calculated billing reached $581 million up 4% year-over-year. Selling as in previous quarter we see that due to the high interest rates environment, we see the fewer customers willing to pay upfront from multiyear deals, which resulted in short-term billing duration. In addition, as a result of Infinity becoming more and more significant and you'll see it in the upcoming slides the flexibility in billing terms affecting of course the billing timing. The revenues growth driven by strong subscription revenues with 14% growth year-over-year to $239 million. That was driven mainly by Harmony E-mail security, which continued to deliver great results with triple digit growth year-over-year. With that, we saw a decline in our product revenues of 12% year-over-year, which was resulted by longer sale cycles and delay in refresh projects, but also to the fact that we saw this quarter much more customer buying our product for Infinity agreements and most of it is not translated into revenues immediately as they have the flexibility to utilize the allowance usually within 12 months. It is important to know that we did see a strong renewal business as our customer continue to benefit from our security services and support. As I mentioned, we keep seeing strong adoption of our Infinity strategy. We saw Infinity revenues exceeded 10% of our total revenue for the first time since we launched Infinity. We see more and more customer adapting our platform entering the needs under one umbrella of product and services. Now, let's look at our revenues by geos. We had growth across all geos 45% of our revenues came from EMEA, 43% came from the Americas, while the remaining 12% came from Asia-Pacific. Now, let's review our P&L. We had a significant improvement in our gross margin, which went up from 88% last year to 90% this year, we saw a significant improvement in our supply chain, which resulted lower cost. And I'll remind you that we had a very challenging supply chain last year that drove our margin below 90%. We hope to see this positive trend continue in the remaining of 2023. Our operating expenses were increased by 5% and 7% on constant currency. We can -- we -- the increase was mainly as a result of our continuing investment in our workforce, cloud infrastructure, marketing, and increase in our travel cost. Our non-GAAP operating income continues to be strong at $263 million of 45% margin compares to 44% margin in previous year. Our financial income, this quarter reached $21 million as we invest more in higher interest rates over time, and we expect this trend to continue as our security is mature -- our security matured and we invest in higher interest deals. Our non-GAAP tax rate for this quarter was around 16%, many due to indexation and updates in tax provision because of several tax assessments we have worldwide. Our non-GAAP net income reached $238 million or $2 per share, which is $0.05 to be above our guidance -- above the top end of our projections. Our GAAP net income was $202 million, or $1.70, 25% growth year-over-year. Now let's move to our cash flow and cash position. Our cash balances as of the end of the quarter was $3.5 billion. Our operating cash flow was $191 million this quarter. What affected our cash flow was very backend loaded quarter; we see that -- we can see that our account receivables went up by 20% year-over-year. The balance that we have in this compared to same period last year is up by 20%. We saw much more booking and billing coming in the last month than usual, and it's something that we continue to see this -- we will continue to see this trend since the beginning of the year or actually since Q4. During the quarter, we continue our buyback program and purchased 2.6 million shares for $325 million at an average price of $125 per share. In total, we purchased $1.3 billion in the past 12 months. Now let's summarize our results. We had this very strong subscription revenue with 40% growth year-over-year, which was driven by Harmony E-mail and continuous stock adoption of our Infinity platform. While we saw the refresh project had experienced delay, we saw a very strong and healthy renewal business. Also, we saw improvement in -- improvement and strong -- improving and strong operating margin that resulted in over 22% EPS growth higher since 2009. Now I'll turn the call over to Gil.
Gil Shwed: Thank you very much, Roei, and great to have all of you here with us, especially now as we celebrate 30 years for Check Point. This is I think we've achieved a lot, but this is just the beginning and there's plenty more with we need to achieve in the coming 30 years. But let me jump right in and give some of my flavor. I think we all have seen some of the kind of recapture what Roei said in the summary for the quarter, very healthy quarter with 22% EPS growth, revenues above our mid-point of the projection, so pleased with that. Positive trends in the Americas, very important that sets the tone for the rest of the world. And I hope it may be setting the stage for the shows that we're -- that we should expect better economy in the next six months, all over the world, strong operating margin. I think we're seeing that our customers are actually very happy with our products and technologies so much that they defer some of the renewal, some of the refresh projects and the renewal is very strong and customers are happy with the products. I think in the future we want to translate it to additional growth. And I think we're seeing something very, very important, Infinity and I'll speak about that, which is the pinnacle of our strategy exceeding 10% of our total revenues for the first time. And the Harmony E-mail continues its very high growth rates capturing another segment of this busy cybersecurity market. So let me start by speaking about some of the wins we have with Infinity. And I think our commitment and our vision is to give the best security. Infinity I think expresses best vision in the best possible way when we give the customer the full platform when everything works together to deliver the best security and it can serve everyone. And you see here a few examples of recent wins in the Infinity landscape. One is a important bank, which expanded the network security where maestro super high speed, but also added to that Infinity architecture, the Harmony E-mail because of its highest catch rate and combines all of that with our new Horizon family that correlates all these events and creates a more collaborative security to all these systems. In the middle, you see another sector that in many -- some cases is underserved in security, but here it's a pretty large network of educational facilities, replaced a competitive vendor product and chose the whole platform, network, email endpoint to secure their entire state. And to the right, another sector that is very important. This is an existing customers, large existing customers, was very satisfied with our Quantum solution and translated it into a bigger win with full Infinity implementation consolidated across the network, the cloud, and the endpoint sizable deal. So what we're seeing here is how Infinity can serve customers in all sectors and deliver on that vision of the best security for everyone. Adding to that, what I already alluded is the success that we have in the E-mail security market. You can also see here a few examples of customer wins, different customers. One is large bank was not very happy with the fact that their existing E-mail security was missing suspicious E-mail and let them through. They tested our Harmony E-mail and what -- took them before weeks and months to install to optimize the system to get reasonable results. They got so much better security in less than five minutes and for a large organization. And similar to that is on top a large pharmaceutical shows Harmony E-mail due to the fact that it has a much higher catch rate versus the competition and again is implementation. We see all of that is starting to echo in the Analyst Report. We see GigaOm who forced their way, when we are coming relatively quickly from nowhere to the leadership areas of these charts. One is to the top upper right, one is in the middle, and I think we're making a breakthrough in this industry, especially when we're speaking about cloud-based E-mail that I think our solution is very, very unique in the way it works and compared to everything has the best security and the highest catch rate. And I think what I've spoken in the beginning of the year is that our vision for the year includes these 3Cs to create security which is the best and prevent the attacks instead of just reporting about them and let the bad guys in. And the three Cs is comprehensive, consolidated, and collaborative. I'm putting a huge focus on the collaborative aspect of the system, not the others are also relatively Check Point is leading in them, but the collaborative is I think what makes that security standout. The fact that we're able to identify threats in one location in the network and translate that into full prevention all over the network, I think it's completely unique in our industry the way we do it, the scope that we do it, and the fact that we're able to connect so many technologies, not only from Check Point, but we're working more and more to connect also third-party technologies to that architecture. And if we see an example how it works, here is the typical event. And unfortunately these events happen every day. A single endpoint on the network notices that the user received an email with attachment, the attachment is infected. This is a zero day threat, which means that it's not identified by most technologies. And some don't even detect it. Some detect it few hours after the computer has been infected. Check Point is the only one that does it in real-time before the malicious file on a zero day has the chance to infect the user computer. But that's not the end of the story because once this threat is being analyzed by our ThreatCloud AI, we immediately isolate that endpoint, quarantine it, and make sure that the entire network protects against file -- against these files and they won't reach any other computer. By the way, whether these computers have our advanced endpoint or whether their security is not sufficient, we will block the download of that file on any mean of communication immediately and automatically. Again, I think this is something very typical. We are seeing examples of that happening on a constant basis and I think we're the only vendor that can actually make the security infrastructure work together. So it does deliver that level of prevention. So to summarize, I think I've talked a little bit about our strategy about how we demonstrate the technology and how it works. I think we gave you some really good cases of some of the technologies that drive our growth Harmony E-mail to name one, Infinity to name the other, which I'm very, very proud of what we see the Infinity, we're working on several years now starting to be a significant part of the business. Our financial results for the quarter were pretty good. 22% EPS growth something we haven't seen for more than a decade, a 14% growth in the security subscription. Again, all our advanced technologies, the ThreatCloud AI, the CloudGuard, the Harmony E-mail are all driving that security subscription growth. And I think we see the collaborative security in action every day and I think we'll see more of that in the second half of the year as we launch more products and more technologies with more innovation around the collaboration in security. So that's summarizes our results for the second quarter. Before I open it to your question, I want to maybe touch a little bit about our projections for the reminder of the year and the third quarter. So for let me speak for two minutes about the projections. For the entire year, this is -- this slide you've seen it before. You've seen it the beginning of the year. There's no change in that slide. We are well within the range that we provided for the year. Revenues in the range of $2.34 billion to $2.51 billion for the year. Non-GAAP EPS $7.70 to $8.30. And GAAP EPS is expected to be approximately $1.22 less. I always say that the projecting the future is always challenging. We are seeing the world changing around us all the time. I'm actually more optimistic about the second half of the year, but we never know what will happen. So that's again no changes in the annual guidance, just repeating what we've seen before. For the third quarter, we haven't shared the projections that we have. So let me share what we have now based on all the analysis that we've done so far. Revenues are expected to be in the range of $570 million to $605 million. Non-GAAP EPS is expected to be between $1.97 to $2.07. GAAP EPS is expected to be approximately $0.35 less than that. So that's where we stand in terms of projections, I think well within our projection for well our -- the guidance for the year. And with that, I would be very -- thank you for joining us today, and I'll be very happy to open the call for your questions. Thank you.
A - Kip Meintzer: All right, folks. First step today is going to be Joseph Gallo, followed by Tal Liani. As a reminder, please limit yourselves to one question, so we can get through as many of the participants as possible. With that Joe, please take?
Joseph Gallo: Awesome. Thanks for the question, Kip and congrats on the 30 years guys. Appreciate the cycle time commentary and delayed refresh commentary. Can you just talk through the new logo side of the business and then maybe just talk about the macro dynamics in 2Q. Did it worsen hold course or ease a little bit versus 1Q? And then, maybe just how would you characterize your billings performance in 2Q? Was it all impacted by macro or are there some areas for improvement? Thanks.
Gil Shwed: So the billing, I leave it to Roei, I think we had pretty good billings but Roei will comment about that. In terms of the macro environment, I think it remained tough, but it was better than Q1. I think on all the metrics, we've seen better results in the first quarter, slightly better -- much better product sales, but the metrics are slightly better than Q1. Renewal much stronger. And I think what we've seen in things like Harmony E-mails and few other areas, we are better. Again, I'm also a little bit optimistic because the U.S. segment of our business has shown some good signs of recovery and some good optimistic signs of growth. So I'm -- I hope that this will be the like our bellwether for the future and for the rest of the world. Roei, do you want to add a comment?
Roei Golan: Yes. So I think we see a significant improvement I mean in the billing compared to Q1. I would say that even though we saw that we had -- Q2 had a lot of very nice Infinity deals that are not translated into billings or revenues, especially in America; we had a very strong Infinity business, new customers, new logos, and existing customers that move to Infinity. And this -- and some of it you don't see still in the billing, it's not something in the billing. Some of it yes, in the billing, but in the end, I mentioned also in the call we -- I mean our billing was up 17% compared to Q1 2023. I know that there is also seasonality here, but still 17% is impressive. So I think that our billing was okay. It was good. I mean, this quarter of course, that we want to be better and we want to be high, want to grow. But I think also you can see the short-term billing, the current billing that went up by 4%. So that's -- I think that's a much, much better than what we…
Kip Meintzer: All right. Our next caller is Tal Liani, followed by Shaul Eyal.
Tal Liani: Hi guys. Gil, I want to take a step back and kind of look at things from higher level. And it's related to the question before. At the end of the day, your revenue growth is 3% and your billing growth is minus one. What are your long-term targets in the sense that you invested heavily in new products in the last few years and still the growth is well, well below what other cybersecurity companies are achieving? How do you see the growth accelerating over the next few years? What are the areas that could drive it up and what are the targets?
Gil Shwed: Hi Tal, apologize. We got somehow disconnected. I think I heard your question, but can you see -- hear me now?
Tal Liani: Yes, I can hear you.
Gil Shwed: Okay. So I think I might have lost the last few words of the question. I think you asked about our growth rate and about our investment and what we are shooting for. And first, we are absolutely shooting for much, much higher growth rates. I think we have the technology. We have the products. I think we have a lot of differentiation and the best in the best security. And I think we have many, many loyal customers. I think we need to translate it to a much more aggressive winning of both existing and new customers to expand that. We are shooting for double-digit growth in all the metrics, let's put it that way. And I think we've started doing many good investment in our field and marketing organization in the past year-and-a-half, starting from growing the organization and investing in its sheer size and growth. And this year the focus is actually on making sure the organization is performing, calling, reaching out, and engaging with customers. I must say that for the last three months, we've seen a big change there. I think the field people have done a good job. We're seeing much higher level of engagement with customers. And I think that the cycle is that the engagement with customers leads to final creation to opportunities. And these opportunities eventually should result in increased sales for the second half of the year, and especially for the fourth quarter, we already see the increase in the pipeline, even though it's just the beginning, because I think most of these performance improvements happened in the last, I would say three months roughly starting kind of March. And the big improvement was kind of May and June. And I hope it'll be translated to the results that I'm expecting. I think we have plenty of potential, and I'm seeing the -- and I'm seeing progress. I don't want yes to say that we're seeing the wins because the numbers are not there yet, but I'm seeing the progress on our internal metrics.
Kip Meintzer: All right. Next up is Shaul Eyal, followed by Joel Fishbein.
Shaul Eyal: Thank you. Good afternoon, guys. Question for Roei. So on the maintenance line front, given that product has been declining in recent quarters. What could be the impact on the maintenance line longer-term? And maybe I know you've mentioned in your prepared commentary some linearity trend, but maybe can you talk to us how this quarter has been progressing, April, May, June? Thanks.
Roei Golan: Yes, sure. So as for the first question, so I would say like this, we mentioned we had a very strong renewal business. So auto customer didn't buy the product, didn't buy mean they didn't buying our product. We saw less refresh project. We did see them renewal, renewal the support, renew the maintenance. So therefore, on the short-term, I mean, again, it starts with me to say what's going to be long-term, but short-term, I don't expect any effect on this line item. As long as the renewal business will keep -- will be strong and as we've seen in the last -- this quarter and also in the last few quarters. So that's in terms of that. In terms of linearity, yes, so we've seen it's something that we've seen by the way also in Q4 -- since Q4 2022, and also of course in Q1, and also this quarter we see much more backend loaded. I mean, we see that significant parts of the deals are coming in the last two or three weeks of the quarter. And that's affected, I mentioned it that affected our cash flow, but therefore we expect a very strong cash -- I mean, stronger cash flow in Q3 because we use, you can see our accounts receivables. This went up significantly because most of the billing -- booking and billing came in the last few weeks of the quarter. So that's something that I'm assuming will continue with us also in the next quarter as long as the -- this existing macro environment will stay with us.
Kip Meintzer: Next up is Joel Fishbein, followed by Ray McDonough.
Joel Fishbein: Thanks for the question and great job on the margin front. Gil, I wanted to follow-up by on Tal's question. Maybe you could share some specifics about investments that you're making in the go-to-market. Obviously having a lot of new products, Infinity is getting some good traction, but how are you balancing this profitability and growth? And give us some specifics around these go-to-market initiatives that could potentially lead to this revenue acceleration that you're speaking about.
Gil Shwed: First, I think again, last year we had a big focus on increasing the field size, making sure we have people, making sure we show our field that we're willing to invest. This year we moved into understanding are we -- what's our productivity? Are we engaging with enough customers? Are we engaging with enough prospects? And I think the big focus is making sure that all the Check Point people are in connection with their customers are creating this, I mean, customer engagement, which at the end leads to a -- to the sales and at the end, I mean, a customer won't buy our vision if they don't know about our vision. If we don't communicate to them, they that -- and I think that's where most of the investment is. We're doing more seminar. We're doing more conferences. We are working on new programs for partners and for others, and I think we should expect much more on that front as well. But the number one investment that we are seeing is, again, engaging with customers, making sure that customers know our story. I can tell you firsthand, every meeting that I have with CISO, with the Chief Information Security Officer ends with, wow, I didn't know that you had this amazing strategy. Your architecture is something I should definitely continue. And that's the good part. Another good part is that they all say that they have a very warm place in their heart for Check Point. Check Point enjoys a very good reputation with them for being a great partner, for being a great -- for providing best security. So these are the good parts. The bad parts is usually and it's 95% of the cases how come I didn't hear from you for such a long time. So this is something we can change, we can fix by engaging with them, by delivering our vision, by meeting with them, by showing them what we can do. And by the way -- that by the way explains some of the growth in Infinity. It's still potentially is still huge there, but when we show customers the potential of Infinity, they buy into that vision, they realize the value, they get far more security technologies and far more security to their environment than they used to do before.
Kip Meintzer: All right. Next up is Ray, followed by Brad Zelnick.
Raymond McDonough: Great. Thanks. Gil, you mentioned you're more optimistic about the back half of the year and one of the things we've started to pick up in our conversations with partners is that refresh activity is actually starting to pick up. So when you talk to customers, do you sense we're at the point where sweating assets, it's becoming less feasible? Meaning should we start to see more refresh activity in the back half of the year and into 2024? How should we think about when refresh activity really comes back here?
Gil Shwed: First, I would like to think that we will see some this quarter and more in Q4. I know when I think that I have all the reasons to believe that we'll see far more than that next year in 2024. But also I'm by the way; pretty positive about the fact that such a big portion of our business became annuity business. When we look at these Infinity contracts, and I think as Roei mentioned, even some of the products has moved from the product line to the Infinity kind of backlog deferred revenues financially on the balance sheet. It may be on the balance sheet, it may be even be off the balance sheet it, depending on how the deal is recorded, but this is not a bad thing. This is creating the more stability, more long-term relationship with the customers. And I would like to see bigger part of the business moves to annuity, of course, not at the cost of a slower growth rate. I think over long-term; we want to increase our growth rate. So no doubt about that. By the way, I really, really want customers to refresh some of the older appliances to get new technologies. This will give them better performance, in some cases, better security. Some cases, the same security, just newer box. It'll definitely give us more revenues. But the fact that customers are not so anxious to do that is actually a very, very good testimony to the quality of our products. These products, some of them are three years old, some of them are 10 years old, are working really, really well. I just had a conversation with a large customer that have a relatively products that are end of life and they want to upgrade. They don't do it on time, but they are very happy with the products that they have, which is a very, very good testimony to a company that can produce products, but 10 years later are still delivering. And I'm talking by the way, about environments that are mission critical, high performance, high security, not about a small business that may make -- may or may not care about it.
Kip Meintzer: All right. Our next up is Brad Zelnick, followed by Adam Borg.
Brad Zelnick: Great. Thanks very much, Kip, for taking the question and happy anniversary to you all. Gil, there are a lot of religious debates in the market around architecture. Some are adamant that that native cloud proxy is the right architecture. Others insist firewall is here to stay and it just needs to be embedded natively in the cloud. What's your view on how this plays out over the next five years? And specifically, I'm interested in your thoughts on the future of proxies, as it was actually an old friend of yours reminded me last week that the earliest firewalls were proxy firewalls that actually lost out to Check Point's network firewall almost 30 years ago.
Gil Shwed: So first, you're absolutely right, and that is true. 30 years ago, there were some proxies. They weren't flexible; they didn't support all the protocols. They required every client to change. And I think we've really revolutionized the market by having kind of this transparent firewall that can support any protocol, any communication, high speed, high performance without the applications kind of even aware of that. That's still what we do. And I think we've shaped up the entire market. I think in the future, we will continue to see a lot of firewalls. The firewalls are remain, by the way, the most important element today in securing the networks. Unfortunately or fortunately for us, they are not really replaceable. It doesn't mean that they cannot be augmented with many, many other technologies. So yes, in the cloud, we also need to use cloud native technologies in the cloud. We also need the posture management to understand that the cloud is configured well and cloud environments are far more suspectable to attacks simply because we are public, simply because we're exposed. And there's a lot of good things that, that exist on the cloud. But when your environment is more exposed, it means that it can suffer from more attacks. And again, unfortunately in our business, we see it almost every day. By the way, the fact that the cloud is shared is also adds a level of risk because that means that the same thing can be replicated, the same threats can be replicated. The data can leak from one environment to another is things that are less likely to happen when it's every customer as an isolated environment. Now, I think that in the future, we're seeing multiple technology. I don't think that there's one that will win. The market is far more sophisticated than that these days. I think we're active in both. We have very good posture management for the cloud. We have very good firewalls or network, virtual network firewalls in the cloud. And I think we should make them simpler and easier to use even in a cloud environment. And by the way, what we also have is a huge benefit that we can connect the hybrid cloud environment, the private data center to the public cloud, which even which in almost every large enterprise is crucial because all of you -- all of us, we have data centers, we have private application, and we have cloud application, and we need to connect them together.
Brad Zelnick: Thanks for your perspective.
Kip Meintzer: All right. Next up is Adam Borg, followed by Saket Kalia.
Adam Borg: Awesome. Thanks so much for the question, Kip. So great to hear about the positive trends you're seeing in Americas and maybe love to hear a step deeper. Just what exactly are you seeing there? What's giving you the optimism, especially as you think that could help translate to the rest of the world later this year? Thanks so much.
Gil Shwed: I think the bottom line is that in my internal metrics of sales and so on, I'm seeing that the America is showing growth and let's say on all parameters, the America commercial region for us is showing growth and that's great. That's what we wanted to have. I also see it in other indicators like the level of engagement with customers and so on. Americas have picked that slightly better than others. We also have changes in other places in the world, but that's what called me to be optimistic. How much of it is the macro economy outside? How much of it is our own execution? It's hard to say. I'd like to think that's both. I mean, in terms of engagement, I know that it's our execution. In terms of results, I don't know if it's us or if it's the macro economy out there that says slightly improving.
Kip Meintzer: All right. Next up is Saket, followed by Andrew Nowinski.
Saket Kalia: Okay. Great. Hey guys, thanks for taking my question here and cheers to 30 years as well. Gil, maybe for you, great to see Infinity make up roughly 10% of total revenue. Maybe the question is, what products as part of Infinity are customers really using more broadly beyond network security? And as part of that, can you share anything on what impact Infinity is may be having on metrics like revenue run rates or deal size or net retention? Does that make sense?
Gil Shwed: Absolutely. So first for us, every in order to be Infinity deals, I'll say what's kind of the sum of the criteria for that. First that the customer encompasses not -- it's not just one products or few products purchase. It has to be an architectural win. It has to be a large kind of enterprise wide deployment of Infinity. It has to include, so these tend to be larger deals. It has to include more than one products family more in our portfolio. So it can't be just network security, it has to be network security plus Harmony or network security plus cloud. The best ones are that they include the full architecture. And I think in all the examples that I've shown, I've shown that they include the different elements. Right now the wildcard that many people buy is the Harmony E-mail that's growing fast, but cloud is there on almost every deal. And the Harmony endpoint is quite frequent to be in that. And more and more we're seeing the new family. The new family is really small, the Horizon family that we launched less than a year ago. And Horizon is all about kind of security event analysis, security orchestration, analytics, and it's kind of smarter brains behind connecting all the elements of the security. So Horizon is becoming now a part of many of the new Infinity deals.
Kip Meintzer: Let's try that without mute. Next up is Andrew Nowinski, followed by Shebly Seyrafi.
Andrew Nowinski: Great. Thank you and good afternoon. So I wanted to ask about your guidance for the year. It does seem a little bit more backend loaded now in Q4 given the modest guide below in Q3. So maybe why not take down the annual guidance a bit in case some of those deals in the pipeline push out or customers decide to delay their firewall refreshes even further and rely more on the cloud.
Gil Shwed: I would start, and maybe Roei would like to add. First, there is no reason for us to take anything because we are think we well, well within our range, wherever we will be in the upper part or on the middle part or on the lower part of the range, we will be well within the range. So I don't see any reason to change the range. What will happen in Q4, wherever we will be pleasantly surprised with an uptick, which we have some good signs. That's why we are there in the pipeline or wherever we will be slightly more in the mid to low part of the range. I still don't know, but that's why it's -- that's why we provide the range to start with. Roei, I don't know if you want to add anything on that.
Roei Golan: Yes, and I'll add, we don't see any risk here that we won't be in the range, therefore we didn't change the guidance. And we also I -- again, I was houseful few seconds. I'm not sure if Gil already mentioned it, but we did -- we do see a very -- I would say very positive pipeline for the last quarter of deal. So again, we need to be cautious here because we see the macro environment, we see that projects are being delayed, but still we do see that there might be a backend loaded deal in terms of refresh projects. So again so that's something that it's worth to have. And again, no, we don't see anyhow any risk to our guidance. So to the -- I mean it's not -- it won't be outside the range.
Kip Meintzer: All right. Next up is Shebly Seyrafi, followed by Shrenik Kothari.
Gil Shwed: We can't hear you.
Kip Meintzer: Shebly?
Shebly Seyrafi: Yes, sorry about that. So you talked about targeting double-digit growth in all metrics. So I'm trying to figure out what needs to happen to make that happen. For example, you need a better economy; you need sassy momentum, Infinity growing to 25% of revenue. Just what are some reasonable scenarios to get you to double-digit top-line growth?
Gil Shwed: There are many, many factors that can contribute to that, but it's mainly better traction by adding more customers and winning more projects with existing customers. Now, again, where it can that come from -- that can come from Quantum from our network security, we have plenty of potential there. And the refresh cycle can address that. It can come from converting even more customers to Infinity and winning new Infinity customers, plenty of potential. It can come from increased risk success in the cloud with which also has the potential. I didn't mention Harmony E-mail because that's already growing quite fast, but that's -- that can be from there. So I think in almost every aspect of the business can have contribution to that. Most of the aspects of the business have the ability to even network security by itself, if we see better win rates, better refresh cycle can get to that on its own. It's not that there is no potential there. It's actually the opposite. There's plenty of potential there. And when you look at our competitors, some are showing challenges for network security and they're growing elsewhere and some are actually going very, very well in network security, which means that the potential is there. And yes, the economies kind of has put an surprising pressure on us in the last 2.5 quarters or the last three quarters. But I think we can overcome that and resume where we want to be.
Kip Meintzer: All right. Next up is Shrenik, followed by Joshua Tilton.
Shrenik Kothari: Hey, yes, thanks for taking my question. Congrats on the 30 years. So Gil, you mentioned of course about the Harmony traction and you gave some examples. You mentioned Check Point is the only one that's detected in real time the zero rate threats. You mentioned examples of some customer wins with a large bank as well as the large pharma. So I mean, given the recent kind of challenges experienced by Microsoft, especially in the email security space, I mean, just curious has there been a factor in Harmony gaining traction? Are you guys trying to capitalize on that with your offering and really going forward, like how do you expect or what do you expect in terms of the impact of Microsoft challenges on market share and how you guys are applying to capitalize? Yes.
Gil Shwed: So first, Microsoft is actually investing and getting more and more into security. In the case of pharma, most of what we are doing is not in the core of our market and is complementary to what we do. And by the way, Microsoft has been a good partner with us and we do things together. We do a lot of go-to-market together and we also compete on some areas, in particular on the email part, in the email part, in most of our email security sales today are into Office 365 environment. On every Office 365 environment, Microsoft offers basic security for free and they offer advanced security for a fee and they try to get it to every account. So every account that buys our Harmony E-mail, it's actually augmenting what Microsoft does. You can call it competition, which may be the right assumption, but also I think more generically about Microsoft, we start our job on security where the platform vendor ends. So I mean, we are trying to augment the capabilities that an operating system that would've, the network would've that any platform would've, and start with there and provide the advanced security. For the last 30 years, that strategy worked very, very well. There's been a big market that wants better security, more than just what the basic platforms, whether it's the routing and switching network security or the operating systems can do. And that's pretty much all the security industry, not just us. We are augmenting what we do. And I see no reason why we would change. I mean, when we look at the macro factors of cybersecurities better cybersecurity is needed now more than ever. And the platforms needs to be augmented. By the way, that's also why we put so much focus on creating an architecture, creating the 3Cs, comprehensive, consolidated, and collaborative. The collaborative aspect is something that's most platform vendors cannot do and I think for the most part it works.
Kip Meintzer: All right. Next up is Joshua Tilton, followed by Gregg Moskowitz.
Joshua Tilton: Thank you guys. Can you hear me?
Kip Meintzer: Yes.
Joshua Tilton: Great. I kind of wanted to follow-up on Andy's question. It does seem that if -- well it seems that things did get better from 1Q to 2Q for you guys. So my question is, do things need to keep getting better in order to meet the back half guidance or if the environment kind of stays as it is, are you still going to fall within the range that you're reiterating today?
Gil Shwed: Right now we are within the range and we are not happy that we're not growing faster. I want to grow faster and I think we deserve to grow faster, but we are executing on that. Wherever we want things to improve, we are doing everything that we can. Again, we don't change the economy, but on our execution I think that there is so much we can do to improve our results. And as much as I think I am kind of a lot of what's happened there for us depends on the economy. There's so much more we can do and I think -- and then we should do to deliver better security to more customers and that will be translated to the financial results.
Kip Meintzer: All right. Next up is Gregg Moskowitz, followed by Gabriela Borges.
Gregg Moskowitz: All right. Thank you and congrats as well on the 30 years. So Gil, on the network refresh delays, do you have confidence that these are in fact purely delays and that these deals will get it done as it -- as intended? I understand the point that renewals have remained strong, but does that mean that this is only a timing issue from your perspective as it relates to appliance purchases? Thanks.
Gil Shwed: I think some of it is purely timing that we see, but the customer says, I have this project; I'm delaying it from Q1 to Q2. And sometimes it says; well, now it's from Q2 to Q3, and sometimes the delays keep being delayed, but the project is well identified. Some of the delays are not things that are identified, we just see the trend. But in a typical quarter, X number of customers would refresh in this quarter, it's less customers that are refreshed. We're watching very, very carefully to see whether it's a kind of a loss or a refresh. And that's why we see the trend between the renewal and the refresh. So we are seeing that the retention rate of customers that we have is strong. The renewal rate is actually stronger because in our model we calculate that X percent of customers want renewal and instead refresh. And what we see is the phenomena when less refresh, more renew. So we see that phenomena. And again, some of it is identified opportunity. I can take this X deals and the customer can say, see this is the customer. They decided to postpone the project. And some of it is just the pace of the market. Say, well, the product works, I'm happy with it. I'll tighten up. By the way, tighten up spending we see with every customer, almost all the customers are now, I mean, like we've seen couple of years when -- couple of years where customers were spending, again, it's not all, it's not universal, but with almost no limits and just spending more and more. In 2023, we see that customers started having more financial discipline, more tight control over the budget. And there are areas that customers choose to invest more, but many areas, especially in the more general infrastructure computing servers and so on; we're seeing very tight spending and even decline in spending in many, many aspects of the market.
Kip Meintzer: All right. Next up is Gabriela Borges, followed by Irvin Liu.
Gabriela Borges: Great. Thank you. I wanted to follow-up on the comments on net retention to better understand how deal sizes are changing. And so when you look in the pipeline and when you think about your renewal activity year-to-date, we'd love to have some color on how is the firewall footprint changing and how is the cross-sell footprint changing? And we've put that together how a deal size is changing. Thank you.
Gil Shwed: Roei, do you have any data on that? Any insights?
Roei Golan: No. I think again, so I would say like that if I understood correctly your question, so we don't see, I mean in terms of we see that some of the customer that's renewed, they didn't do any refresh, they renew and actually they even upgrading their services. Sometimes they're getting -- taking more services from us. So I would say it's not only renew, it's a renew, they don't do buy any appliances, but they extend their services. They're taking more services, more security services. If it's Harmony E-mail or if it's more even on under the network security business, not sure if you are okay. So that's if I understood correctly your question that that's something we see and as for the pipeline, so we do see that some of the projects that being postponed from this quarter, we do see them pushed to the second half of the year, most of them to Q4. So -- and therefore we -- therefore, as I mentioned that we see, I would say positive pipeline for Q4 because it includes many of these deals that were postponed from this quarter or even from Q1. So -- and hopefully we -- there will be closing and won't be any deferral -- additional deferral in to next deal. But that's my view here.
Gabriela Borges: The deals in the pipeline, are they -- if you take the average deal size, are the deal sizes getting bigger compared to what you might have expected three years ago or last year?
Roei Golan: We have both, I mean; we have also low deal size. I mean, I'm talking now only we don't -- we see also low deal size. We see from all of, I mean we don't -- it's not -- we don't many around Infinity by the way. We see very large deal sizes in the opportunities with large enterprises all over, I mean, it's not something that we don't see. We see that. We just don't see, we see less customer in wants to pay upfront for more than a year. But that's more kind of on the billing side. On the booking side, on the pipeline because Infinity has the flexibility and the flexibility around the billings. We do see a very large deal size in the pipeline, but it doesn't mean that you'll see it in the billing or in the revenues immediately.
Gil Shwed: I actually see a nice win, especially in the second quarter. We saw an increase in the number of large deals where I saw, again, it's not -- I don't want people to go out with the wrong feeling of that. But if I saw some weakness somewhere it's more of mid-size deals and mid-market and less than the high end high touch customers.
Kip Meintzer: All right. Our last call of the session is going to -- our last question of the session is going to come from Irvin Liu.
Irvin Liu: Hi, thank you for the question. It's great to see Harmony E-mail continue to do well. Are you able to parse out how many of your email customers are standalone email customers versus historical Check Point customers? And do you see a compelling opportunity to upsell the Infinity platform to some of these single solution kind of Harmony customers that came by way of the Avanan acquisition?
Gil Shwed: Not sure I got all the questions, but generally speaking, in the Harmony E-mail, we have the combination of free part, we have small mid-size customers. We have MSSPs customers that are served by managed security providers and we have enterprise customers that are more similar to the Check Point installed base. In the last year, by the way, we've doubled the Harmony E-mail installed base, which is huge. We've added the huge number of customers. I mean if you look at net additional customers to Check Point, it's a very, very big number that came from that. Again, big numbers are from the small and the MSSP, but the number of large enterprise customers that were added is also decent. The good news about that is that all these elements are kind of working and there's more and more business that's coming, not from the Harmony E-mail, standalone sales, but coming from the Check Point field and the Check Point channels that are saying, wow, that's a great solution. We love to include it for our customers. And yes, it does add to us a lot of customers that weren't Check Point customers before, but equally important customers that are Check Point customers are happy to buy that as well.
Kip Meintzer: All right, folks. Thank you for joining us today. We'll look forward to seeing you throughout the quarter and here's solution for another 30 more years of success. Thank you, guys. Have a great day.
Gil Shwed: Thank you very much. Appreciate it. Thank you.
Roei Golan: Thank you.